Operator: Good morning. My name is Sylvie and I will be your conference operator today. At this time, I would like to welcome everyone to Whitecap Resources' First Quarter 2021 Results Conference Call. Note that all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn it over to Whitecap’s President and CEO, Mr. Grant Fagerheim. You may begin your conference call.
Grant Fagerheim: Thank you, Sylvie. Good morning, everyone, and thank you for joining us this morning. I’m joined by four members of our senior management team: our CFO, Thanh Kang; as well as Darin Dunlop, Vice President of Engineering; Joel Armstrong, Vice President of Production and Operations; and Dave Mombourquette, VP of Business Development. Before we get started today, I would like to remind everybody that all statements made by the company during this call are subject to the same forward-looking disclaimer and advisory that we set forth in our news release issued earlier this morning. Our first quarter results were strong from all aspects of the business. Our team did an excellent job on costs, reducing both capital and our operating costs relative to our expectations. Our team kept our assets performing extremely well with final production numbers coming in even higher than we increased our guidance provided to the market previously. And we have also closed two transactions announced in the third - the first week of April with the integration of all these going quite smoothly. Our first quarter average production was 95,828 boe per day, on capital program of CAD 119 million which included drilling 53 gross, 43.9 net wells. Our funds flow of CAD 188 million provided us with CAD 45 million of discretionary funds flow after the CAD 24 million dividend payment. Typically, the first quarter of our most active - is our most active and in Q1, 2021 marks only the second time in the company's 11-year history that we generated positive discretionary funds for after capital spending and dividends in the first quarter, which is a testament to the return characteristics of our company. With spring breakup reducing activity levels as they always do in the second quarter. We now are expecting to generate over CAD 200 million of discretionary free funds flow in the first half of the year, allowing us to deliver on our targeted CAD 200 million debt repayment to further strengthen our balance sheet. I would like to now pass it on to Joel Armstrong to comment on some of our HSE results so far in 2021.
Joel Armstrong: Thanks, Grant. The first quarter was our most active quarter from an operations standpoint since the larger restrictions and changes from COVID first impacted Western Canada in the spring of last year. COVID remains a significant challenge for our business and health and safety of our employees. Contractors and their families remain a top priority to us. I'm pleased to report a Q1 total recordable injury frequency rate of only 0.41, which is below our historical two-year average even though total in-person hours increased by 8% relative to Q1 last year. With respect to carbon sequestration and emissions reductions from our existing assets, we made good progress both in Alberta and Saskatchewan. At Weyburn, we sequestered an additional 2 million tonnes of CO2 in 2020 bringing our total up to 36 million tonnes since the project began operations in the year 2000. The pool has the capacity to store an additional 80 million tonnes of CO2 providing a significant remaining life from the project. The Joffre project in Alberta is much smaller in scale, but since we took over from [indiscernible] at the start of this year, we've been able to double our average daily sequestrations rate and expect to increase it further over the coming months. This is a good win for our central Alberta team especially during a very active Q1 drilling program. Lastly, we're on track to meet our 20% direct emission intensity reduction target from 2019 levels by the year 2023. And we've highlighted several initiatives in our latest corporate presentation. I'll now pass it on to Thanh to comment on our financial results.
Thanh Kang: Thanks Joel. Crude oil prices improved through the quarter with WTI beginning the quarter in the low-50s and ending around the CAD 60 level with Q1 averaging just below US$58 per barrel. The Canadian light oil differential also improved through the quarter to average US$5.24 per barrel discount to WTI. With recent differentials in the US$4 to US$5 range and finally the Canadian heavy oil differential averaged, approximately US$12.50 per barrel for the quarter with recent differentials in the US$12 to US$13 range. For natural gas AECO averaged just below CAD 3 per GJ in the quarter with cold weather in February impacting prices to the upside. Our average realized crude oil price, this will be prior to the impact of hedges and tariffs with CAD 65.11 per barrel in the first quarter compared to CAD 47.48 in Q1 of 2020, a 37% increase. Our average realized natural gas price - prior to the impact of hedges and tariffs was CAD 3.34 cents per Mcf in the first quarter compared to CAD 2.18 in Q1 2020 a 53% increase. Despite higher crude oil prices our royalty rate of 14.5% was slightly below Q1, 2020 primarily due to lower royalties associated with the acquired production and prior period adjustment. Operating expense was CAD 13.36 in the first quarter, a 10% increase from Q1, 2020. Our full year expectation of CAD 13.50 to CAD 14 per boe is unchanged as the TORC assets were acquired carrying higher operating costs, and we're only incorporated in our results for 35 days in the quarter. Transportation expense in the first quarter was CAD 2.05 per boe slightly above the high end of our expected range of a CAD 1.75 to CAD 2 and we anticipate our full year to be within this range. G&A expenses came in as expected at a CAD 1 per boe in the first quarter and we anticipate maintaining this level for the remainder of the year. We recognized approximately CAD 10 million of one-time transaction costs related to both the NAL and TORC combinations in the quarter. Funds flow for the first quarter as Grant mentioned was CAD 188 million, which equates to CAD 0.36 per share generating a total payout ratio of 76% after capital invested and dividends paid to our shareholders. Couple of things I wanted to discuss a bit further as outlined in our MD&A. The first being a facility acquisition for CAD 72 million in the quarter, so this relates to production facilities we sold to third-party in early 2016, where we would maintain control of the facilities as operator, but paid an annual tariff or lease payment for the life of the agreement. We also had the option to purchase the facilities at any time and we exercise that option at the end of March. This now eliminates annual lease payments of CAD 10 million of which CAD 2 million of the annual payment was previously recognized as interest expense on our income statement and the remaining CAD 8 million was recognized as part of the financing section on our cash flow statement both of which now have been eliminated. The second item to point towards is the addition of approximately CAD 2 billion in tax pools from the two combinations that we closed in the quarter. So now we have CAD 5.5 billion in tax pools. Our current strip prices, we don't anticipate being cash taxable until at least 2026. Whitecap net debt March 31was CAD 1.45 billion on total capacity of CAD 2 billion. Our debt to EBITDA ratio is 1.8 times and our EBITDA’s interest ratio was 17.3 times both well with our debt covenants. As Grant mentioned, we remain committed to allocating CAD 200 million of discretionary funds flow in 2021 towards the balance sheet. I'll now pass on to Grant for his closing remarks.
Grant Fagerheim: Thanks, Thanh. This is an exciting time for our company with strong operational momentum, which will drive our free funds flow generation for the balance of the year. In addition, the ongoing technical and economic analysis by our new energy team has led us to many different potential opportunities whether they are CCUS, lithium, hydrogen or other aspects of the energy transition. We're - hard at work evaluating these decarbonizing opportunities and we'll update the market as we have more information to share throughout the year. We've been asked by a number - a number of times about the federal government's announcement to exclude the federal tax credit specifically from enhanced or recovery projects as it relates to CCUS projects and admit that we were disappointed with the government's neglect of the benefits to all the Canadians of these type of projects. However, this does not preclude us from participating in other value enhancing activities that our current CCUS projects can provide such as carbon credits and reduced - such as carbon credits and reducing or eliminating the cost of CO2 used at Weyburn, Saskatchewan and Joffre Alberta. We've also have the opportunity to work with large emitters through CCUS projects to achieve their own emission reduction targets. We have been and we’ll continue to work with the federal and provincial governments on shaping the clean fuel standards and to find ways in which our technical expertise that comes with operating large scale CCUS projects such as Weyburn can benefit many different stakeholders and Canada achieving its objectives of lowering carbon emissions into the future. Our two projects at Joffre and Weyburn currently sequester half of the 4 million tonnes per year of CO2 that is sequestered in Canada and we intend on being part of the growth in this number in the years to come. With that said, I want to reiterate our priorities, which is to focus on balance sheet strength and continuing to improve our free funds flow generation during increased return of capital back to our shareholders along with actively participating in the advancing new energy initiative. Our team is hard at work on these priorities and we look forward to providing you with updates on our progress throughout the year and into 2022. On behalf of our management and board of directors we like to thank you our shareholders for your interest and support at Whitecap. With that I'll turn the call back over to Sylvie for any questions you might have. Thank you.
Operator: Thank you, Mr. Fagerheim. [Operator Instructions] And your first question will be from Jeremy McCrea at Raymond James. Please go ahead.
Jeremy McCrea: Yes hi, guys. Just on CCUS, I was just wondering if you could provide a little bit more detail in numbers associated with this plan especially with one of the comments that you made were you trying to help other industry partners? What kind of business plan are you thinking that this could really turn out to be here over the course of the next five, 10 years just in terms of materiality I guess?
Grant Fagerheim: And we think it can be quite material Jeremy as far as and the question is around Carbon Capture Utilization and Storage, all projects existing emitters are currently trying to better understand what the credit capacity is going to be created from the Federal Government as well as the Provincial Governments in both Alberta and Saskatchewan and whether it's on new hydrogen projects it creates even more CO2 or other projects that are existing at this particular time. That the path forward is going to be through carbon capture. And therefore can be very substantial so that - all this is evolving, it's going to take a copious amount of capital on a go forward basis for the, not just the Canadian space, specific to oil and gas but to all industrial users of energy and as we move forward with hydrogen or any other particular projects it is going to - require the expertise of Carbon Capture Utilization and Storage.
Jeremy McCrea: And - yes, I was going to say, maybe just, as this is the plan then to just continue to increase your infrastructure to do that and then just sell the credits off to other E&Ps in the sector then is that certainly that the long-term or I guess?
Grant Fagerheim: No, no. What we want to do is participate in all aspects of the - what we'll call this new energy platform which is developing hydrogen projects on our own. And that will obtain carbon credits for that as well as on the carbon capture side, what we're looking at is how can we best reduce our cost, because currently we're paying for CO2. How do we reduce our costs for the benefit of our shareholders and utilize our technology going forward. So it isn't - it’s multitasked and that's where I think a lot of people are jumping ahead. This is going to take - this is going to play out over years to come not over months to come, as we move forward. We're really in any informative stage of putting together strategies as with some of the larger producers as well as the - we’ll call the pipelines and midstream asset managers as well. But I think this goes not just to Western Canada. This goes to the entire country that we live in. And what we're trying to do is make sure that we capitalize on it - on behalf of our shareholders going forward using our technical expertise and experience moving forward.
Jeremy McCrea: Okay, perfect. Thanks Grant.
Operator: Thank you. Next question will be from Travis Wood at National Bank. Please go ahead.
Travis Wood: Yes, good morning guys. Question is just around the operational performance as you posted some strong numbers on production. So if there was an outlier you kind of hinted at integration and just kind of overall execution. But was there one particular asset that that set out to help drive that beat this quarter or was it kind of a little bit given and take across both the NAL consolidation, the TORC consolidation and kind of the base asset as well?
Darin Dunlop: Yes Travis, Darin here. You know it was spread out across several different assets and that all of them which were, it was a significant beat though all of them were significant in their own. So wasn't a bunch of little ones. It was a bunch of big ones. I'll touch based on, I'll sort of walk through some of the most significant ones are the TORC first quarter program and the conventional Frobisher. Some of the results were exceptional above what we had forecast. Then we walk over to Weyburn, our declines in some of our performance from our last year's rollouts. We're still performing significantly above expectations. Then we walk over to our Viking program, our Q1 program will not, although not as - were both robust as other years added some volumes over and above our type curve. But that being not as robust also dropped, we didn't have as much volumes coming on. So we saw some reduced line pressures and a lot of that outperformance was on our base production as well in the Viking. And then to a smaller extent, we had some partial optimization in of our Sturgeon pool that we acquired from NAL with a lot more to come there. And I guess another - couple of things to think about is, we've had some exceptional results in our Charlie Lake drilling and Montney, Karr Montney that wouldn't have impacted our Q1 numbers coming on late in Q1 and early in Q2. So, we're rolling along pretty good here.
Travis Wood: Okay, no that's great. Appreciate the color there. And that’s all from me.
Operator: Thank you. Next question will be from Jordan McNiven at Tudor, Pickering, Holt. Please go ahead.
Jordan McNiven: Yes thanks, guys. Just another one here on CCUS, your referenced the ability to expand current operations, sounds like plenty of a manual geology there. You even though also add a bit of color around say the availability of a [CCUS] pipe capacity into your facilities and maybe an incremental capture capacity that your partners might have?
Grant Fagerheim: Relative to the Weyburn project we can this time Jordan, we've got pipeline capacity that we could over double the amount of CO2 that we're capturing at this particular time. And that goes with the specified type of pipeline that is going to be used for infrastructure going forward. So at this time, into that - the Weyburn project as - and we've been waiting for what, to advance that more carbon capture into waiting to see what the carbon credit cycle is going to look like through the Federal Government. So we'll continue to advance that. But we do have at least two times the capacity to increase at Weyburn and then our Joffre project we're continuing to in Alberta as Joel had referenced earlier we have capacity to increase that. We've almost doubled, where we were at, where any all was that at the particular time. So and then there's other - there's very other - various other projects that we're looking out across Western Canada. Primarily in Saskatchewan and Alberta that will look to advance for the benefit of Saskatchewanites and Albertans as well as all Canadians, so the pipeline capacity today that we have is sufficient for at least two times growth. But it's going to require much more capital from pipelines et cetera moving forward into the future as well.
Jordan McNiven: Okay perfect thanks and any commentary around the you know kind of carbon sources, if you were at the sites to capture, is there incremental ability to capture there or do you think you have to and lists some new partners to take care of that side of things?
Grant Fagerheim: Yes just we’re under non-disclosure agreements with several parties, what we're looking at right now and - there are several numerous other sources and rather than pointing specifically to them. What we can talk about is we know that they, if we talk about the largest emitters being whether it’s on the concrete manufacturers, steel manufacturers, refiners anything in the industrial world going forward that creates greenhouse gas emissions are considered. There is numerous different - several lots of different sources and you know they're all looking to reduce their carbon footprint going forward that aren't specific to energy companies, that's what's most unusual about this. I think that's the understanding the federal government is going to have to look into and understand further as we move into the future.
Jordan McNiven: Okay very helpful. Thanks guys.
Operator: Thank you. [Operator Instructions] And your next question will be from Josef Schachter at Schachter Energy Research. Please go ahead.
Josef Schachter: Good morning everyone, and congratulations on nice quarter given the hedge losses that you had. My first question is on the accounting side for Thanh, we saw yesterday the first company take a reversal of impairments [Vermilion] and they reversed I think CAD 663 million to CAD 233 million in Alberta to 290 in Saskatchewan out of their CAD 1.5 billion - CAD 5.6 billion they did a year ago in the quarter? You guys took CAD 2.9 billion in the quarter, CAD 2.8 billion of it from PP&E, do you see reversing that at some point in the next while and what are the determinants of making that decision to do the reversal of those impairment charges?
Thanh Kang: Yes hey, Josef it's Thanh here. Yes, every quarter under IFRS we'll have to look at the indicators of impairment or impairment reversal and we did that in the first quarter here. So those things that would be considered would be significant changes from technical revisions from a reserve perspective. We look at what the benchmark commodity prices have been doing relative to the last forecast. And so for the end of the quarter here, we would have compared that against year end. And saw nothing significant that would have moved hence there was no impairment reversal in the first quarter. As we look forward here as commodity prices continue to improve, which we expected in the back half of the year here, we'll revisit that impairment test or the impairment reversal and look at it on a quarterly basis there. So there could be potential for reversal depending on what the strip looks like as we move into the back half of 2021 here.
Josef Schachter: Okay.
Grant Fagerheim: Josef, just to jump in for one second you had referenced really quickly about the hedging losses and I want to make sure that you fully appreciate and everyone understands that these are not losses. What they are is opportunity losses. And our objective here has always been on the risk management strategy is to protect pricing downside, while exposing our production and our shareholders to upside pricing into the future. So we want to make sure that we have enough cash flow to run our business from a capital perspective and pay a dividend on a go forward basis. So they are although referenced and some people don't understand that there are not losses there opportunity losses, which we’re very comfortable with. And that goes to our caller strategy that we do have on pricing to ensure that we protect the economics for our capital going forward.
Thanh Kang: Yes, let me just point there Grant, I mean you know when we look at the downside protection with the hedge book that we have right now even down to CAD 40 WTI. We're not only able to fund our dividend and grow our business through our capital program, but we're actually generating CAD 166 million of discretionary funds flow after capital and dividends that would be at CAD 40 WTI. So I think that the very important number as we think about 2022 and 2023 as well as designing our hedge book, so that it gives us that ability to fully fund ourselves in a very low pricing environment. As we mentioned, we're constructive on the back half of 2021 and into 2022 here. But I think we always have to keep in mind that we're trying to protect our base business as well.
Josef Schachter: Last on the accounting side, what's the share count, are we looking at 632.2 million shares now?
Thanh Kang: That's correct. Yes, that would be pro forma the Kicking Horse transaction.
Josef Schachter: Yes, okay good. And then the last one from me for Grant, you mentioned at the beginning that the integration is going smoothly. Can you talk about all of the systems, the accounting systems, the GMG systems, the land management systems all of the integration. And you've mentioned that it's going smoothly with everybody on a similar platform, so that we've made it easy or is it just the transfer is going easy? And then the second part of that would be the manpower where was the manpower like prior to the first NAL deal, where is your manpower now and are you at a complement which will be stable or is there going to be attrition going forward?
Grant Fagerheim: Josef I’m going to - I've got our Dave Mombourquette here who runs - is responsible for our information technology systems and I'll let him talk to integration, on the people side that’s gone very smooth. We were fortunate enough to - we were prior to the two transactions and the third transaction now with Kicking Horse, we had 165 people in the organization and now we have 245 individuals in the organization. And that is a combination of Whitecap as well as a few individuals from NAL, a fair amount of people from TORC and then in - from the industry we've added about six people as well from industry at this particular time. So we think this is a fitting - fits well into our G&A and listen I'm only talking in the office when I talk about the responsibilities of our personnel. We’ve about in total about 450 people in the field that are either on full time or contract as well. So and - we're responsible for ultimately about 700, 650 to 700 people livelihoods at this particular time. And again we're all - we're able to do that within the confines of our G&A structure that we currently have. I can ask to Dave Mombourquette to talk a little bit about on the integration of our systems. Thanks Dave.
Dave Mombourquette: Yes, thanks Grant yes for sure. As you mentioned I think one of the aspects that made the transition relatively - somewhat more straightforward for us. So there was a lot of commonalty in our systems, fortunately as accounting system being the main on both sides. But we also - also this is - we've done more than 10 transactions of a large nature, most of those corporate before these ones. So we're very familiar with the process of integrating companies in and we have the same for the most part of the same core IT team has done all of those transactions. So they were ready to go with the first one with NAL and planned it all out, and I have done a great job. And I think that shows in our ability to do our first quarter financials which wouldn't be possible if we hadn't integrated all the data systems in as we go. And just given the opportunity I'd also like to say that the NAL people that we used on a contract basis who worked in the IT department over there did a great job. That was a larger one and more challenging to integrate, but with those guys working with our IT team, it definitely made it a lot smoother. And so, I just want to give a little shout out to those guys. So thanks.
Josef Schachter: And just a little follow-up, with the 245 people, do you have enough space to bring everybody in, post the pandemic or are you going to need to find new accommodation going forward.
Grant Fagerheim: No we have, with the transactions we have ample space available to us. And Josef, if you're interested in leasing some of it, you can just give me a call after this, all right.
Josef Schachter: Thanks very much, guys.
Grant Fagerheim: Thanks. Okay, thank you.
Operator: Thank you. Next question will be from Aaron Bilkoski at TD. Please go ahead.
Aaron Bilkoski: Thanks for taking my question. My questions on volumes and guidance, your volumes are tracking strongly relative to your guidance and CapEx is trending call it, modestly lower. You made it clear that you wouldn't, you would exercise restraint in CapEx, if commodity prices trended higher. If you can achieve your volume guidance by spending less, would you consider spending less than you already?
Thanh Kang: Yes it’s Thanh here Aaron I mean good question look, I think our production here we’ll have the highest peak production in the second quarter here. And as Darin had mentioned definitely from an operational perspective we’re trending on track to being able to meet our guidance, if not exceed the guidance numbers there. Our plan here is to stick with that mid case there from a capital perspective. You know, initially, when you look at the fourth quarter, prior to the Kicking Horse transaction, we were only spending somewhere in that neighborhood of CAD 35 million to CAD 40 million. And now with the transaction once it closes - we’re going almost double that so additional CAD 30 million that will spend in the fourth quarter there so from a capital increase, through the transaction, the Kicking Horse. I would say that the CAD 65 million to CAD 70 million in the four quarters is what we've laid out. We don't anticipate to increase that and if we can reduce our capital with the same amount of production, that certainly something that we would look to do is to improve our free cash flow profile.
Aaron Bilkoski: Thanks.
Operator: Any further questions, sir? Next question will be from Chris Varcoe at Calgary Herald. Please go ahead.
Chris Varcoe: Hi, this is a question for Grant. I think you had this partially addressed. But I'm wondering if you can just talk about the fact that we're sitting here with oil at $65 a barrel? What scenario what point would you consider increasing your capital program as these commodity prices rise?
Grant Fagerheim: Yes, thanks Chris. I mean, what we'll look at as Thanh were just alluding to. We're going to go through the second quarter here. We'll have our, what we anticipate to be deep production in the second quarter, as we evaluate going into the back half of the year. Our objective here is to maybe we look at what is the best avenue for us to get the best return characteristics on our capital going forward. So with oil trading at $65 in the near term, right now we're still using $60 and $2.50 gas, gas is also trading at $2.75 at this particular time, but it allows us the options to continue to review our projects internally as to what's the best use of that capital after we strengthen our balance sheet by $200 million. So we think that there's trending forward quite frankly. We think that oil could even get - be stronger into the future back half of 2021 and 2022. A lot of this is going to play out with what the demand cycle looks like, as we advance through this very challenging COVID environment We've been living through and especially us in Canada that have not been able to get the vaccines into people's arms as a result of our federal policy. So what we're looking at is, whether it's $65. And if it stays there for an extended period of time - what we're interested in, most interested in right now as the market stays in backwardation, and that means that our months are trading below our total support, time period as the forward months are. We always have to look at that as a good opportunity for investing and the best returns going forward. So right now, we'll remain very disciplined and we're trying to ensure that we're very disciplined on our approach. As Thanh talked about, and we'll see how things play out - as we as we move through the second quarter and report on our second quarter in August.
Thanh Kang: Yes, I think the only thing that I would add to that Chris, is that our priority, if you do rank it with the balance sheet strength, return of capital to our shareholders. And I think growth from an organic perspective would be third. So, our focus in the back half of the year here, is commodity prices maintained or even better - than the $65 level here is to return more to our shareholders.
Chris Varcoe: Just to follow up on that, and then do you see a scenario next year where that - those priorities might change at all that you'd be looking at spending it more and maybe looking at more organic growth or do you think you will still remain in that sort of priority here?
Grant Fagerheim: Yes I think, Chris, next year and what we have to - we're playing forward on to is this other, as we've referenced as part of the call into the new energy initiatives that are underway. So we wanted to make sure that we have a very strong balance sheet going forward. We will our objective here long-term is to grow our production per share by 3% to 8% per year organically and supporting with acquisition activity, strengthening our dividend as we move forward, and always with the backdrop of our strong balance sheet. So the optionality is critical for the free funds flow. And we believe that going forward how we spend that we're going to be assessed on a continual basis as to what we do with that free funds flow. So next year, our objective here is again, to grow in essence between 3% to 8% per share, organically spending as little capital as we can to do that, and take the free cash flow, and either continue to reduce debt, increase our dividend or into other opportunities, whether it be on the acquisition side, increase capital or into the new energy initiative that we're working forward on.
Chris Varcoe: Just one final question, last year I believe you set the emissions target to reduce your direct emissions intensity by 20% by 2023. Are you looking at changing that at all given the environment in giving some of the federal policies and provincial policies being put in place?
Grant Fagerheim: No, we're still on the - when we look at what we've done today. Since 2017, we've reduced our emissions by 37%. So our objective here was to reduce that by an incremental 20% and we're well on our way to do that. And it's for working in real time right now so whether it's 14% or 15% or 16% right now, we're always looking to advance that forward regardless of what the emission standards be. We set our own emission standards that’s objective going forward, but regardless of federal policy or our provincial policy, we believe that decarbonisation is underway, and we're going to play a very significant role in that going forward.
Chris Varcoe: Thank you.
Grant Fagerheim: Thanks, Chris.
Operator: Thank you. At this time, gentlemen, we have no other questions. Please proceed.
Grant Fagerheim: Okay, thanks very much, Sylvia. And thanks, everyone for on the call. As we conclude this quarterly earnings call, I would like to thank each of you for your continued interest in Whitecap. I want to be clear that we will remain a fossil fuel growth and dividend company however, actively participating in low carbon opportunities as we move forward. The future we believe is looking much brighter for energy than it has for a long period of time. And we're excited about what we can deliver into the future on behalf of our shareholders. Thank you. Hopefully everyone stays healthy and safe. Have a good day. Bye for now.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending and at this time we do ask that you please disconnect your lines.